Operator: Please standby, we're about to begin. Good day, everyone. Welcome to the Sol Strategies Fiscal Quarter Ended December 31, 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' prepared remarks, we will conduct a question-and-answer session. [Operator Instructions]. On the call with us today is Leah Wald, Chief Executive Officer; Doug Harris, Chief Financial Officer; Max Kaplan, Chief Technology Officer; and John Ragozzino from ICR. At this time, I’d like to turn the call over to Mr. John Ragozzino from ICR. John, please go ahead.
John Ragozzino: Good afternoon and thank you all for joining the Sol Strategies fiscal first quarter 2025 earnings conference call. Before we get started, I want to remind everyone that certain statements discussed on this call are based on information as of today, March 3, 2025, and contain forward-looking statements, which are subject to risks and uncertainties given our operating history, market volatility and industry growth. Trends could materially deviate from today's levels. As such, actual results could differ materially from our forward-looking statements. The comments made during this conference call were in the latest reports and SEDAR+ filings, each of which can be found on our website, www.solstrategies.io or under our profile at www.sedarplus.ca. The company has made assumptions that no significant events occur outside the company's normal course of the business and the current trends and respective digital assets continue. Listeners are cautioned that the metrics of our business may fluctuate and may increase and decrease from time to time and such fluctuations are beyond the company's control. The company does not undertake any duty to update any forward-looking statements except where required by law. The company also wants to caution listeners that past performance is not indicative of future performance and current trends in the business and demand for digital assets may not continue and listeners should not put undue reliance on past performance and current trends. This call will touch on certain unaudited performance metrics of the business through the quarter ended December 31, 2024, provided in the earnings press release issued today. And I would encourage each of you to review the forward-looking statements, Risk Factor disclosure and similar disclosures in today's press release. Please note the dollar amounts referenced are in Canadian dollars unless otherwise noted. Leah will review the Sol Strategies positioning within the rapidly growing digital assets industry and the December quarter. Doug will then present the financial highlights for the quarter and Max will discuss our technology and operational initiatives before we open the floor for your questions. With that, let me turn the call over to Leah.
Leah Wald: Thank you, John, and good afternoon, everybody. I'll briefly review Sol Strategies positioning within the rapidly growing digital asset industry and the December quarter and update some key metrics. The December quarter was a pivotal period for us. While we acknowledge the recent volatility in Solana's price, we remain steadfast in our conviction that this is a long-term growth story, one in which Sol Strategies is uniquely positioned to lead. Market fluctuations are an inherent part of emerging asset classes and as a company; we are focused on executing our strategy, strengthening our foundation, and continuing to drive value for our stakeholders, independent of short-term price movements. During the quarter we saw a meaningful shift in the regulatory landscape with the incoming U.S. administration signaling a more structured and pragmatic approach to digital asset oversight. This combined with global regulatory advancements has contributed to rising institutional confidence in blockchain networks, particularly within the Solana ecosystem. Further validating this momentum, CME Group announced on Friday the upcoming launch of Solana futures, a major milestone that underscores the growing institutional demand for regulated crypto derivatives. This development not only enhances Solana's credibility and appeal amongst traditional finance players, but also expands the range of investment vehicles available further solidifying its position as a premier blockchain well suited for institutional adoption. This quarter marked a significant transformation for Sol Strategies as we fully transitioned into a technology driven company with an exclusive focus on Solana's high performance blockchain. While we provided a comprehensive market update last month, today we want to highlight our strategic vision, the tangible business progress we've made and why we are uniquely positioned to capitalize on the most compelling opportunities in the space. We are successfully executing on our strategy despite market uncertainty. Our business strategy is built on three core pillars that we believe will drive rapid long-term sustainable growth regardless of short-term price fluctuations and market volatility. Number one, we provide best-in-class technology and infrastructure. We are developing a comprehensive suite of proprietary technology solutions that cater to institutional and retail participants in the Solana ecosystem. By enhancing security, reliability and accessibility in Solana staking, we are removing barriers to entry and enabling broader adoption, particularly among institutions that demand significantly higher standards for transparency, compliance and accountability while maintaining the highest standards of performance. Some of these solutions include our staking app and our performance and reporting dashboards, which we continue to develop and look forward to providing future updates on. Number two, we are creating the premier institutional staking platform. As regulatory clarity improves, institutional adoption of digital assets is accelerating and Sol Strategies are that forefront of this shift. Our ISO 27001 certified security networks, transparent operational practices and deep integrations with institutional partners position us as an ideal trusted infrastructure provider for institutions entering the Solana ecosystem. Number three, we have executed on strategic growth through acquisitions and partnerships. The December quarter was defined by deliberate and strategic expansion, including the acquisitions of Orangefin Ventures, our second Validator acquisition to enhance our staking Validator operations and strengthen our position as a premier staking services provider. These efforts align with four key growth pillars we outlined in our previous call: One, expanding our Validator network to secure predictable high margin revenue streams; two, investing in and building proprietary technology to enhance staking accessibility and yield optimization; three, maintaining a strong financial position through strategic capital allocation, cash flow positive operations and prudent balance sheet risk management; and four, upholding compliance and security to maintain trust and credibility with institutional partners. Additionally, we are formalizing institutional business partnerships and preparing for a potential uplifting to the Nasdaq later this year. Institutional demand for stable, high yielding staking solutions continues to grow and we are well-positioned to capture this momentum. We are proud to announce that Sol Strategies will serve as the staking provider for three IQ's upcoming stake Solana ETF, one of the largest digital asset manager issuers in North America. We believe that we are well equipped and positioned to expand this business line in the ETF space. We have also begun the process to uplift Sol Strategies to Nasdaq. This move will enhance our visibility, improve access to institutional capital and reinforce our leadership position as the largest publicly traded company focused exclusively on Solana. We are not waiting for opportunities, we are creating them. In addition to our expanding Validator operations, we have formed strategic partnerships with Tetra Trust, one of Canada's largest digital asset custodians where we have integrated into their platform and Neptune Digital Assets whereby we are their exclusive staking provider. These partnerships extend our reach beyond passive staking to active sales driven strategy that strengthens our position as a category leader and we are just getting started. To conclude, while price fluctuations may capture the headlines, our focus remains unwavering, building a company that is operationally strong, financially resilient and strategically positioned for long-term growth. We are executing a clear vision and have the team, technology and partnerships in place to capitalize on the immense opportunity ahead. With that, I'll now hand it over to Doug for the financial highlights. Thank you.
Doug Harris: Thank you, Leah. I'm pleased to present Sol Strategies financial results for the three months ended December 31, 2024. While we are happy with the results, they do not fully reflect the transformative changes initiated under Leah's leadership as CEO, which continue to unfold and are expected to positively impact the company's financial performance in 2025 and beyond. Please note that we may refer to the quarter ended December 31, 2024, as Q1 2025 or the first quarter. The quarter ended December 31, 2023, as Q1 2024 or the prior period, and the year ended September 30, 2024, as fiscal 2024. We've also rounded most of the financial numbers for the sake of brevity. Total comprehensive income for the three months ended December 31, 2024, was $7.8 million, an increase of about $869,000 from the total comprehensive income of $6.9 million for the three months ended December 31, 2023. The main reasons for the increase in total comprehensive income are as follows. A realized gain on dispositions of cryptocurrencies in the first quarter of $4.4 million from nil in the prior period, taking invalidating income of $1.25 million in Q1 2025 also nil in the prior period. In Q1 2025, operating expenses increased approximately $1 million from the prior period to $1.3 million mainly due to the following: a $590,000 increase in stock-based compensation to $629,000 in the first quarter; a $229,000 increase in professional fees to $273,000 in Q1 2025 mainly due to increased legal expenses in the first quarter compared to the prior period; $136,000 increase in consulting fees to $243,000 in Q1 2025; Investor Relations expense increased $154,000 in Q1 2025 compared to nil in the prior period; and we had a foreign exchange gain of $204,000 in Q1 2025, compared to a foreign exchange loss of $44,000 in the prior period, due to the appreciation of the U.S. dollar relative to the Canadian dollar during the first quarter. This resulted in income before tax of $4.4 million in Q1 2025 compared to $2.6 million in the prior period. The company made a provision for income tax expense of $1.2 million in the first quarter compared to nil in the prior period due to the expected utilization of tax loss carryforwards in fiscal 2024. This resulted in net income of $3.2 million in the first quarter, an increase of $580,000 from $2.6 million of net income in the prior period. The company also had other comprehensive income of $4.6 million in Q1 2025 compared to $4.3 million in the prior period due to unrealized gains in cryptocurrencies resulting in total comprehensive income of $7.8 million in Q1 2025 compared to $6.9 million in the prior period, an increase of $900,000. At December 31, 2024, the company had $1.3 million in cash, 139,726 SOL, 3.17 Bitcoin the SOL and Bitcoin had a combined value of $38.6 million. This is a significant increase from the end of fiscal 2024, at which time the company had $1.8 million in cash, 100,763 SOL and 56.25 Bitcoin with a combined value of $25.6 million. Total assets increased approximately $46 million from $28.9 million on September 30, 2024, to $74.6 million at December 31, 2024, primarily due to a $13 million increase in cryptocurrencies to $38.6 million from $25.6 million at September 30, 2024, and a $33.8 million increase in intangible assets, which were nil at September 30, 2024, due to the acquisition of the Cogent and Orangefin assets. Total liabilities increased $12.2 million to $14.4 million at December 31, 2024, compared to $2.2 million at September 30, 2024. The increase is mainly due to a $6.6 million increase in financial liabilities, which were nil at September 30, 2024. This represents the estimated present value of common shares issued in the future or to be issued in the future for the Orangefin asset purchase and a $4.2 million increase in the credit facility which is also nil September 30, 2024, and a $1.2 million increase in income taxes payable to $2.7 million at December 31, 2024, from $1.5 million at September 30, 2024. Net book value increased $33 million during the three-month period ended December 31, 2024, mainly due to total comprehensive income of $7.8 million, which we discussed before, 2.9 million of common shares issued due to option exercises and asset acquisitions and 22.3 million of future common share issuances for the Cogent acquisition that had been credited to reserves during the period. Our Chief Technology Officer, Max Kaplan, will be discussing our staking and Validator strategy, but I want to highlight that the company's Orangefin Validator asset acquisition closed on December 31, 2024, the last day of the quarter. Even without the Orangefin assets, the Sol Strategies staking and validating income exceeded its cash operating costs, and we expect this to continue in the second quarter of fiscal 2025 when the Orangefin assets, which represent approximately 40% of the total sold delegated to our validators, are reflected in our operating results for the quarter ending March 31, 2025. With that, I will turn the call over to Max to discuss our technology and operational initiatives.
Max Kaplan: Thank you, Doug. I want to introduce myself. I am Max Kaplan, newly named Chief Technology Officer of Sol Strategies. I became CTO shortly after joining the company as part of the Orangefin transaction. I am excited to be in this role and my experience in blockchain dates back to 2017, when I joined Kraken as one of its first engineers. As CTO, I am committed to educating both our investors and the broader public on the transformative value of blockchain technology, with a strong focus on Solana's unique strengths and institutional potential. Before diving into our technology advancements, I'd like to provide some context for those less familiar with Solana's ecosystem. What is Solana? Solana is a high speed, low cost blockchain network designed to handle thousands of transactions per second, making it one of the most scalable platforms for DeFi, NFTs, DePIN and institutional applications. Unlike older blockchains that struggle with congestion and high fees, Solana's architecture allows for near instant settlement and low transaction costs, making it a critical piece of infrastructure for the growing digital economy. What is a Validator? Validators are the digital picks and shovels of the Solana network, providing the essential infrastructure that keeps the network secure and operational. They process and verify transactions, maintain decentralization and power the blockchain's high speed performance. Investors and users who hold SOL can participate by staking their tokens with Validators, earning rewards while contributing to the network's growth and security. As adoption accelerates, Validators and staking infrastructure are becoming increasingly valuable, positioning them as foundational players in the expansion of Solana's ecosystem. Sol Strategies has built one of the most secure staking setups in the industry, reinforced by our selection as a staking provider for upcoming 3 IQ stake SOL ETF. Institutional adoption requires trust and security, which is why we have prioritized regulatory compliance and infrastructure resilience. With the acquisition of Orangefin's ISO 27001 certification, we have strengthened our institutional security credentials. We are actively pursuing SOC 1 and SOC 2 certifications to strengthen institutional compliance and transparency. SOC 1 ensures our financial controls meet institutional standards. SOC 2 verifies our security availability and data protection. These certifications will further establish Sol Strategies as a trusted institutional staking provider. While these certifications set an industry benchmark, we exceed these standards internally, implementing advanced security protocols that protect both our infrastructure and our clients. Sol Strategies is also one of the few staking providers that has fully automated the majority of our Validator operations. With multiple Validators under management, automation allows us to handle frequent Solana upgrades with speed and precision. A key example of our innovation is our early adoption of Firedancer, Solana's next-generation Validator client designed to improve speed, efficiency and network resilience. Firedancer is a completely new independent implementation of Solana's Validator software built to enhance performance and reduce congestion risks. We were among the first operators to deploy Firedancer on mainnet and thanks to our automated infrastructure; we spun up a fully operational Firedancer Validator in just five minutes. This positions us at the forefront of Solana's technological evolution, ensuring we remain a leading high performance staking provider. This level of efficiency provides several key advantages. Faster network upgrades we can seamlessly adapt to Solana's evolving infrastructure, cost savings, automation reduces operational overhead, allowing us to offer institutional grade, security at a lower cost than many competitors, and also resiliency and scalability. Automated processes ensure that we remain agile and prepared as Solana adaption grows. As we look ahead with institutional staking adoption accelerating, Sol Strategies is well-positioned to lead the market with our best-in-class security, automation, and institutional grade compliance. We are committed to staying ahead of industry changes, engaging with governance proposals and ensuring that our staking infrastructure remains resilient, scalable, and high performing regardless of evolving network dynamics. With that, I'll turn the call back over to Leah.
Leah Wald: Thank you, Max, for breaking down our Validator strategy and why it's so central to our growth within the Solana ecosystem. At Sol Strategies, we're not just building a staking platform; we're defining the future of institutional staking. Our progress isn't just about execution, it's about seizing a unique first mover opportunity to establish Sol Strategies as the go-to platform for institutional SOL staking. By combining institutional grade infrastructure, cutting edge technology and deep industry relationships, we are positioning ourselves at the forefront of a rapidly emerging market, one that is only just beginning to take shape. As confidence in digital asset surges, backed by stronger regulatory clarity and increasing institutional interest, Sol Strategies is leading this transition. We aren't waiting for institutions to adopt Solana. We are actively building the infrastructure to make it seamless for them. With secure, high performance staking solutions and a technology first approach, we are expanding the possibilities of staking in ways no one else is. We are building more than just a business. We are shaping the foundation of institutional staking for years to come. The momentum is real and we're just getting started. Thank you all for joining us today. Operator, please open the line for questions.
Operator: Certainly. Thank you, Ms. Wald. [Operator Instructions]. We'll go first this afternoon to Bill Papanastasiou at KBW.
Bill Papanastasiou: Good evening, and thanks for taking my questions and congrats on all the success recently. As mentioned, there's a lot of exciting technology behind the Solana ecosystem. Perhaps you can spend a minute or two discussing what verticals excite you the most and do you see the potential for other opportunities down the road? Thanks.
Max Kaplan: Yes, I could take that one. And Bill thanks for your question. I think this is definitely a really transformative time for Solana. I think the -- in terms of things that I'm personally excited about, really, I think it comes down to just improving speed and performance. And with that, so many new applications can be deployed on Solana. My personal favorite thing on Solana is really trading. I come from a trading background, but talking about other verticals specifically, I think wallets, I think RPCs, there's really interesting things that are happening all around Solana. And I think as the network grows just pretty much everything is going to grow.
Leah Wald: Yes, I'll follow-up there. Bill, it's great to hear your voice and thank you so much for that great question. I think it's -- I appreciate that it's a broader question and I think Max answered it perfectly. Now, beyond the tech, I think that it's evident, especially from the recent news, even just yesterday on a U.S. strategic crypto reserve, that SOL was mentioned to be a potential allocation to that there is just so much institutional adoption that's happening right now and institutional interest. We were recently named as one of the staking providers for 3iQ's upcoming staked SOL ETF. We're in conversations with other issuers and today we're very proud to announce that we recently appointed Luis Berruga to the Board who is one of the most world renowned ETF experts. He was the former CEO of Global X. It's evident from all the different filings in the United States and abroad that ETFs are coming soon. I won't speak on behalf of the regulators nor do I have any inside information on that regard. But with all the filings and the movements in the space with the acknowledgments in EDGAR A system, there is a lot of movement that's happening. There's also a lot of funds and other asset managers in the United States that have mentioned that they are looking to use Solana rails for their tokenized asset funds. As we know, that has always been the hot button topic across the Board for investment banks as well as asset managers on when will real world asset tokenization funds happen. We have seen some. We've also seen the success of tokenized asset funds with BUIDL, with BlackRock custody by BonY. So we've already seen those advances that have happened over a year ago. But now these asset managers are talking about Solana. So we're actively engaged with I hoping to create partnerships in the United States. And also to mention there's been products abroad especially notable in Europe with over $1 billion AUM in stake SOL ETFs or ETPs actually especially starting with the Swiss SIX, but you have them in Brazil and other jurisdictions as well. So this isn't going away. There's even more interest and we believe much more participation and our goal right now is to ensure that we're speaking to everybody. To be an institutional staking provider, both as integrated through custodians, but also working with the funds to ensure that they're aware that we're here and that we're running the most compliant staking service for Solana. We're not going anyway where we know what we're doing. I'll just mention one thing on that. We recently announced that we were integrated into Tetra Trust system platform. They're one of the most prolific Canadian custodians in the digital asset space, actually the first with a license. So we're here in the vanguard and we believe that across the Board from Solana's technological upgrades to generally across the investable market for funds as well as asset managers. There's just a lot of potential that, one, that Solana will continue to see adoption and allocation, but two, that we can be participating actively in these developments.
Bill Papanastasiou: And then, secondly, for my second question, hoping you could just lay the land in terms of how competition looks in this space with respect to other companies offering validation services. Any color there?
Leah Wald: Yes, and that's a great question too. As a businesswoman, that's what excites me the most. And maybe I'm too competitive here, but I do believe that we have created a moat. I absolutely believe that we have created the best service offering for Solana staking, and there's multiple reasons why. I'll talk a little higher level from a business perspective and then ask Max to jump back in here to talk about the compliance and security standards that he mentioned previously. But we know this space. I think that it's important to understand the deep background of our team. You do have Max, who again, I'm going to tap him in a second, but one of the first engineers at Kraken. He was the Senior Director of Engineering at Kraken and I couldn't be more proud that we were able to acqui-hire him through the acquisition of Orangefin Ventures. He created that reporting and plumbing and knows what works, what doesn't, and what should be improved upon for staking services at an institutional level from a technological perspective. I've been working in the crypto asset management space for at least eight years, which sounds wild to say out loud, but I do believe that I understand what funds are looking for and I do know at least what's been technologically interesting for United States asset managers. The list runs deep. Our CFO Doug, who spoke earlier, also has been actively engaged in capital markets both on the audit side and sell-side for his whole career. And it continues on with different Board members. We have Ungad Chadda, who was a Senior Executive at TMX. Why do I think that matters? That matters because the team works really well together and with all our different perspectives, we have been looking very closely at what matters most for the industry to go after institutional clients. Again, we have a lot of retail stakers that are staking to our Validators at the moment. We actually just got another 255,000 SOL, which is about $52 million of SOL that staked to our Validator yesterday and that's from outside stakers, retail. However, our focus as a business, of course, is to be that institutional staking provider. And we know what's wanted. We've been speaking to interested investors and are participating in those conversations. So I think that the moat is clear that, number one, our security standards, number two, our compliance standards, number three, our know-how in institutional asset management and the desire for the structure that's required for structured funds to actually have staked SOL integrated into these funds, both in the United States, where I'm sitting, but also abroad with the deep bench that we have. And then four, again, through integrating with some of these custodians, as mentioned, Tetra Trust being one of them. We're able to go after other participants who are simply looking for the highest yield. And we have one of the highest yields in the market, especially with Orangefin Ventures. So if you were a fiduciary, you must consider the Validator with the highest APY. And then of course, that Validator must have the compliance standards and security standards that are rigor enough -- rigorous enough to pass snuff with your regulators as well as your internal controls. So with that one, two punch, we believe that we have created a bit of a moat because we are providing such a stellar service with some of the highest APY in the market. But Max, I'll tap you in for a second. If you could just speak a little bit more about what you've created and what we're actually running for security and compliance.
Max Kaplan: Yes, absolutely, Leah, I think you did a great job there and I'll kind of touch on two things is, number one; we are extremely, extremely focused on Solana. And your question was, how do we compare with competitors? One of the reasons is that, we are really exclusively focused on Solana. And because of that, we know the network really, really well. Some other competitors out there are operating on many different chains. And that's great. I don't want to comment on anything there, but blockchain is really complex and a lot of these different blockchains don't have a lot of things in common. Solana just due to how fast it is and just how different it is really, there's so many differences between Solana and many other network. And we know Solana really well because we focus on it and we're able to do a lot to get a lot of edges, and really offer competitive APYs just in terms of technical stuff as well as data that, that can be hard to get if you don't really know Solana inside and out -- excuse me, that's one thing. The second thing really is, we're able to operate really, really efficiently, mainly just due to all the automation that we have built out. Where we really don't need that many people and we're able to do this really quickly and really efficiently. And because of that, we can offer lower commissions and things like that. So I think just adding on to what Leah said, that is what I would also say.
Bill Papanastasiou: Very informative and helpful answers guys. Thanks so much.
Leah Wald: Thank you so much, Bill, for joining.
Operator: Thank you. [Operator Instructions]. And we'll take a question now from John Ragozzino of ICR. John, please go ahead.
John Ragozzino: Hi, thanks. There's a couple of questions that came up from the participants on the webcast side. The first one is do you have any opinion on Solana being included in the U.S. reserve? And you think that other countries will likely follow suit?
Leah Wald: Thank you so much, John. And what a question, especially with what happens in the market today. I think that it's a bigger question. It's an economic question. It's a political question. We've been thinking about it a lot and speaking to a lot of the partners, we believe that Trump's announcement of the U.S. strategic crypto reserve is a major shift in financial policy, echoing historic moves to hold hard assets as reserves. I did see some of the participants here have been in Bitcoin industry with me. I noticed some of the names and they probably remember that Saifedean Ammous book and The Bitcoin Standard very much spoke about how civilizations that adopt hard money assets with fixed supply and resistance to the basement tend to achieve greater economic stability. Now, Bitcoin has firmly established itself as that sovereign asset with a fixed $21 million supply, decentralized security, deep liquidity. It has evolved from a speculative asset into digital gold, a store of value that governments, corporations, institutions have continuously recognized as a hedge against monetary expansion, systemic risk, need I say further than BlackRock, right? And then also El Salvador using its legal tender for many years now. So I think that it's very interesting, and what's especially interesting for us here on the Sol Strategies earnings call is that Solana SOL was included. Now in Solana's inclusion in the reserve is, I think, extraordinarily significant. As it signals a broader recognition of blockchain's role beyond just a store of value and specifically the recognition of Solana, and while Bitcoin has established itself as a store of value asset, and again, as seen through how investors are investing in these Bitcoin ETFs with their IRAs and 401(k) here in the United States or retirement funds, Solana's presence in the reserve suggests that policymakers are seeing merit in other blockchain infrastructures. And Solana is one of the newest incumbents of what was spoken about in that announcement. So I do believe that this move is important. We must watch it because it does reflect a shift towards institutional adoption of DeFi decentralized technologies, and that's very much acknowledging their potential role in the future of financial systems. So we're very excited about it. It's obviously signaling big opportunities, but something we're also following and engaged in is that none of this can happen until we continue to see regulatory clarity, right? Execution will depend on regulatory clarity, security and integration with traditional finance. Right now we have funds. Right now we have seen over the past years many traditional finance institutions trying to use native permissioned blockchains that they've built in order to use as rails for some of their transactions. But this hasn't taken off just yet. There's a lot more to happen. So I think that this move signals that crypto is no longer just an asset class. It is a strategic financial instrument. And it is wild that we've gotten to a stage where United States President is speaking about a strategic reserve including and incorporating crypto assets, very exciting.
John Ragozzino: Okay. We have one more follow-up from the participants on the webcast and that is around the uplift into the Nasdaq. They're asking if there's any anticipated timeline around this.
Leah Wald: Of the strategic reserve?
John Ragozzino: No, no, separate question. I apologize. The question when do you anticipate to complete the uplifting to the Nasdaq exchange?
Leah Wald: Sure. And that's a great question, of course. And I can't speak on behalf of Nasdaq or the regulators in the United States. However, we are actively pursuing. It must be noted that this is a cross list. So it is a very different mechanism and process than doing an S1 in the United States. So we are going through the process that's required, working with U.S. Council alongside our Canada Council to finish going through the hurdles we announced that we have signed a new auditor and everything is moving as according to plan. Obviously, I can't speak to the date, but we're feeling very optimistic that things can move in our direction and are working towards making that happen.
John Ragozzino: Okay. That's what we've got from the webcast. Thanks, Leah.
Leah Wald: Thank you.
Operator: [Operator Instructions]. We'll go next now to Vishal Jaiswal, Private Investor.
Vishal Jaiswal: Hi. No, actually my question was regarding Nasdaq, which you guys just got answered. So thank you so much.
Leah Wald: Absolutely, and Vishal, thank you for asking the question, both you and John. And of course, we will keep everybody appraised as updates come out. And of course everybody can call anytime that they have questions. I think it is important to also note that we recently upgraded our OTC ticker from Pink to QX, which is the highest and most senior OTC exchange. So we're moving forward on all fronts.
Operator: And we'll go next now to Denny Finelli. Denny, please go ahead.
Dennis Cinelli: Hi all. I'm Denny, shareholder. Just wondering in regards to the Canadian markets, we've had ETFs in Bitcoin and Ethereum for a few years now. Any plans for Solana on the Canadian side?
Leah Wald: Yes, and thank you again for the question. Now you have me smiling because this is my background and maybe I for many people on this call, maybe they don't know me. So maybe I should back up for one second and then I'm excited to answer that question because I've been there since the get-go of SOL ETFs being approved in Canada. Even though I am American, prior to stepping in as the CEO of Sol Strategies, I have been again working in the United States asset management market for about eight years with Lucid Investment Strategies. After Lucid again we were special -- we were the specialized RAA in the United States investing in GBTC, which was the first in the United States security that was a closed end fund that was listed OTC market, so you could allocate for any of your discretionary accounts. After that I co-founded and ran a firm called Valkyrie Investment. So Valkyrie launched some of the first crypto ETFs in the United States. It was very exciting and we were quite toe to toe right after the Canadian ETFs were launched. So the Canadian ETFs were launched as you probably remember, Purpose and Evolve were back in February 2021. Valkyrie and ProShares launched our Bitcoin Futures ETF in October 2021 as well. Prior to that as you probably remember, 3iQ had a listed closed end fund that was also a fantastic product. And as you know, we are partnered up with 3iQ and hoping that their stake SOL ETF comes to fruition as well in short order rooting to further them here. But you're absolutely right, it was very innovative by the OSC in Canada to approve a SOL -- sorry a spy ETF much earlier than the United States did. So for Valkyrie we launched a Bitcoin Futures ETF, a Bitcoin miners ETF, a schematic ETF based on blockchain. We did Eth, Bitcoin, cap weighted futures. We also launched spot and then Valkyrie was acquired and I decided to come and join Sol Strategies and it's been the best decision ever. So you're absolutely right. It's interesting and we're watching because Canada has always gone first. So I think that both regulators are very much looking at what each regulator, the OSC and the SEC are speaking about and providing guidance for, but very excited because as everybody is likely aware with the advent of the ETFs being spot-related, having launched, you see huge accretive action across the Board for any equities that are listed as well as other funds in generally also appreciation of the underlying tokens. I think what's interesting for everybody on this call to note and understanding about Sol Strategies and our differentiator we are not an as play. We have established ourselves as a Solana Validator company, which is a technology company. We are providing picks and shovels for Solana akin to how Bitcoin miners are picks and shovels for Bitcoin. What was interesting in the United States with such inflows from the spot Bitcoin ETFs and other ETFs that were launched that were single asset whether it was ETH Futures or Bitcoin Futures? The Bitcoin miners saw extreme accretive price appreciation as well as immense AUM and interest. Typically in the United States, they were seen as a leveraged play over spot. I do find it very interesting how? You can couple and work as partners with the issuers if you are working in technology in order to work together and it becomes a rising tide. Obviously, I can't speak to future performance and by no means am I saying that that would happen in the future. But there is a beautiful precedent of technology players working with issuers in order to educate both the public as well as the regulators on the merits of the picks and shovels and how that works and the ecosystem and the blockchains and how everybody is participating and how that matters by for the investable public and therefore what product matters to that investable public. So as of right now, we are in a wonderful position as the largest Solana public company and the only public company that specialized and focused on Solana Validators. So our desire is to continue working with the regulators as well as the other issuers to create a rising tide of education and that comes first. So we look forward to the day and hopefully it does happen. Again, I won't speak on behalf of any certainties, I do not know them, but I do feel hopeful that we will see ETFs in the future across North America. And I think it will be a huge exciting time for the industry and all industry participants as a whole, from shareholders to stakeholders to investors to the companies running those products as well.
Dennis Cinelli: Cool.
Operator: Thank you. And it appears we have no further questions this afternoon. Ms. Wald, I'd like to turn things back to you for any closing comments.
Leah Wald: Yes. Thank you so much again. Everybody, thank you so much for joining today. Thank you for participating and being a part of our early journey here. We're excited. We'd love and appreciate your feedback and we look forward to the next call. Thank you again.
Operator: Thank you, Ms. Wald. Again, ladies and gentlemen, that will conclude today's Sol Strategies fiscal quarter ended December 31, 2024, earnings conference call. Again, thanks so much for joining us, everyone, and we wish you all a great remainder of your day. Goodbye.